Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Sizwe Ndlovu: 00:03 Good morning and welcome to each of you. We are delighted to be hosting the financial results for the first-time in person in two years. Welcome to everyone joining us online as well as the webcast and the audio call. Thank you all for taking the time today. 00:20 Shifting gears, accelerating growth, that's the theme of today's presentation. We really and truly are past the recovery phase of our journey. This is a journey that many of you have been on with us and you have heard the many promises we've made and the ambitions that we've shared. As you'll shortly hear, the promises have been kept and the ambitions now becoming realities. 00:46 Today's update will provide insights on how we progressed on execution of our strategy in 2021. And how we've responded to the myriad challenging external factors, including the impact COVID-19 has had on our business. We'll also share some of the highlights from our segments. So you can see our each part of the business is handling and responding to its own unique set of challenges and opportunities. We'll talk to you about our current performance, which has shifted gears and gained substantial momentum. 01:20 And lastly, we're going to give you a good sense of what we believe lies ahead for Old Mutual. A future build on these strong strategic foundations. To answer all of your questions today, all of our MDs are in the room. So please feel free to ask any questions that you may have. If you could please communicate these questions via the webcast or conference call. 01:44 And so, starting off today will be our Chief Executive, Iain Williamson followed by our Chief Financial Officer, Casper Troskie. Over to you, Iain.
Iain Williamson: 02:12 Thank you, Sizwe and welcome to all of you. I'd especially like to welcome, Zureida Ebrahim, our Chief Operating Officer to our leadership team and also to thank Heloise for diligently care-taking the COO function for over two years. Last year, the second year of this global pandemic, we held our ground and reaffirmed our commitment to our values and to our stakeholders, including of course to you, our investors. 02:44 Our Truly Mutual strategy can be understood through three primary components. The first is our vision or victory condition of becoming our customers' first choice to sustain, grow, and protect the prosperity. This means that we want to be top of mind with regards to our brand presence, our distribution reach, and the breadth of solutions we offer to our customers. 03:10 The second leg is our execution framework. The how of our strategy. Rectify, simplify, and amplify, which breaks down our long-term ambitions into shorter-term tactical steps that will allow us to reach our destination and deliver on the commitments we've made to you as investors. And the third leg is our value drivers, which focus on the what, the tangible outcomes we will deliver to shareholders. Revenue growth, operating margins, capital efficiency, competitive strength, and execution and delivery. 03:51 Our implementation of ESG principles across our dual roles of asset owner and asset manager continues at pace. We are now an official member of both the Net Zero Asset Owners Alliance as an asset owner and the Net Zero Asset Managers Alliance through the Old Mutual Investment Group. Apart from preserving the planet for future generations, we've got a fiduciary duty to ensure the sustainable continuity of our business and protect our stakeholders' interests. So please look out for our first climate report based on TCFD principles which will be released next month. 04:33 On a personal note, during 2021 my oldest daughter wrote her metric exams. And watching her work so incredibly hard and succeed amidst the challenges and pressures of writing metric compounded by the challenges of separation from friends, online schooling, and a complete shift in school norms, I was made acutely aware of how much COVID-19 has impacted our young people. And how our children have responded to this pandemic has reminded us all of what's possible. And how resilient we can and will be in the face of adversity. 05:11 And at Old Mutual, we've similarly seen the response and ability to persevere in our results. But before I break the results down, let's start with headline performance indicators. 2021 was a really significant year for us, as we recovered from the enormous impacts that COVID had on our operational and financial performance in 2020. As you can see, we are green across our key metrics. We've honored our commitment to our customers and paid out over ZAR21 billion in claims in our Life business in South Africa, which is the primary driver of our net client cash flow outcome. 05:53 We achieved a massive recovery in the front-end of our business that was driven by much better productivity, reflected in the significant improvements in Life APE sales, the value of new business and in funds under management. In a moment, I'll go into some detail to highlight areas that have really been spectacular, not just against 2020, but also against 2019. 06:22 And while we're here, I'm delighted to tell you that our Board has approved a final dividend per share of ZAR0.51 for 2021 at the top end of our policy range for the cover ratio. It's taken this decision given its confidence in the strength and resilience of our balance sheet, but also taking into account some lingering uncertainty around a possible break-out variant of COVID. 06:38 This dividend declaration follows on from the bold step we took towards simplifying the Group, when we distributed 12.2% of our stake in Nedbank allowing us to focus on our core business, while also providing a substantial return of capital to shareholders. These results are the outcome of focused execution on our rectify, simplify, and amplify framework. And the clarity that this brings for our people. 07:23 To recap quickly, rectify means fixing areas within our value chain that are not working as well as they should, and re-orientating towards new ways of thinking and operating. Simplify is about leveraging our existing resources and further streamlining our processes, systems, and products through the use of technology, allowing us to respond to the constantly evolving needs and expectations of our customers. And rectifying and simplifying allows us to then amplify, setting the foundation to enhance the breadth and scale of our capabilities through strategic partnerships, through investing in innovation and through using our extensive resources to tackle societal challenges. 08:13 By delivering through this framework, we keep our promises to you, our investors. You will remember that I made you a number of firm commitments at our interim results last year. I promised you that we were going to revolutionize our customers' experience of Old Mutual and change the trajectory of that experience. I said we would build an entirely new insurance business end-to-end to deliver exactly what our customers expect and more. 08:49 We promised you that our relentless drive to improve efficiency would translate into measurable and sustainable cost savings of ZAR750 million by the end of 2022. We undertook to harness the unrivaled force of Mass and Foundation's distribution engine to regain our competitiveness. I said that we would completely re-energize the customer and advisor experience in personal finance and wealth management and so continued to earn our place in this highly contested space. 09:26 I promised that we would improve investment performance in Old Mutual Investments. And that we would embed digitalization across all parts of our business. And as we take you through our results journey, I'm confident you'll agree that we've delivered against these commitments. 09:44 So with that context, I'll move on to the external environment within which we delivered these results. In 2021, global economic growth rebounded after the sharp declines of 2020. This was in large part, supported by the roll-out of vaccines and the relaxation of previously imposed COVID-19 restrictions, resulting in increased demand and increased economic activity. 10:19 We also saw equity markets recover right across the continent, although once again that growth was somewhat constrained by continuing outbreaks of new COVID-19 variants. While markets are improving, we are acutely aware of the pressures that consumers remain under. With rising global inflation putting continued pressure on interest rates and on GDP growth, as well as heightened volatility in the global geopolitical landscape. 10:55 In the rest of Africa, markets remained largely on a growth trajectory. During 2021, South Africa experienced material excess mortality during the second and third waves of COVID. And notably the third wave, the delta wave had a double hump or double peak, which impacted both our personal finance and corporate businesses severely. The fourth wave then saw the emergence of Omicron, which was highly transmissible, but very much milder in terms of severity. 11:35 In 2021 impact of COVID-19 on our segments resulted in materially higher claims than we had modeled for at the beginning of the year. In total in the year, we paid out more than ZAR13 billion in COVID-related claims across the Group. And in the second half of the year, we raised additional provisions of ZAR2.2 billion, which Casper will take you through in detail. 12:03 We've responded by repricing our Group Life business and Individual business on the expiry of guarantee terms as well as repricing new business for un-vaccinated lives. During the year, we implemented a mandatory vaccination policy for our employees in South Africa. And today well over 90% of our staff are vaccinated, and we've accommodated those who choose to not be vaccinated, requiring them to undergo weekly PCR testing. 12:37 But what about the future? In our response to COVID, we've taken into account all views, research, and expert projections, including those of medical experts, such as Professor Salim Abdool Karim, who recently met with our Exco leadership team. After what we experienced with the fourth wave, wider but less severe infections, we now believe that the world may finally be getting to grips with COVID. But the threat of a new breakout virulent strain of the variant of the virus does remain. Whatever the outlook, vaccinations remain an essential part of our human defense against the virus. 13:26 Given that backdrop that I've sketched out of market recovery, increasing consumer pressure and the challenges bought by a shifting and unpredictable global pandemic, our segments have really performed exceptionally well. In the Mass and Foundation Cluster led by Clarence, result from operations excluding COVID increased by more than 50%. We strengthened our tight distribution channels, which should enable them to deliver a sharp increase in productivity levels with a focus on both adjusted -- sorry both advised and non-advised products. 14:08 Our Alternative and Foundation market channels delivered strong sales growth with a high proportion of risk sales helping us to improve margins. And thanks to the focus and investment we put into the sales force and the productivity recovery we experienced, because of it, our sales have continued to grow consistently right across the business. And this has been boosted in no small part by Old Mutual Protect sales, most of which come from the Mass and Foundation Cluster. 14:42 As Clarence mentioned at last year's Capital Markets Day, we are pursuing opportunities to expand into the full value chain of funeral services through strategic partnerships. And we will update you on these at our interims on the progress we are making. As a result of all our efforts in 2021, VNB recovered strongly from last year's low. With our VNB margin ending at the lower end of our target range of 69% for this segment. Risk sales are up 40% and savings are 20% higher than in 2020. This mix does dilute the reported margin. 15:28 Old Mutual Finance had an exceptional year delivering the lowest credit loss ratio in its history. But I must caution that as we continued to prudently increase our lending volumes, we aim to maintain a sustainable loss ratio of 7% to 9%. Even as we expand our alternative channels, the face-to-face sales force will remain absolutely relevant as a core part of a multi-channel distribution strategy. It has been the secret sauce inside MFC for many a year. 16:06 Excluding considerable pandemic claims, the front-end of the personal finance business had an absolutely outstanding year. As with MFC, our strong focus on advisor productivity and improving customer experience resulted in sales exceeding 2019 levels. We've also seen good traction in the take-up of new solutions, particularly of Old Mutual Protect, which has supported our recovery in the recurring premium business and has replaced our previous flagship risk product Greenlight. 16:42 When customer appetite returned, Old Mutual Protect proved that it is exactly the product the market was looking for. Offering customers modular, tailored benefits to any suite any budget or need. We do acknowledge though that we still have work to do across the value chain to extract further benefit from Old Mutual Protect. Work that will result in an uplift in margins. We are also on track to launch our savings and income proposition, which builds on the benefits of this platform. 17:18 On the other hand, net client cash flow remained under significant pressure, driven primarily by the payment of claims during COVID wave two and three. Expense management has been nothing short of excellent, with growth in expenses coming in at below inflation for the second year in a row despite investment in digital enablement and the roll-out of new solutions. 17:48 In wealth, Kerrin and the team have focused on both our distribution capability and investment performance. In the distribution arena, we are focusing on capabilities in areas we have previously been underrepresented in. And I'm confident that these ventures will bear fruit because of the tremendous success our team has experienced in ceding adjacent new businesses within particularly the wealth business. Just think for instance of our Private Client Securities business, which we've taken from zero billion to 40 billion of assets under management in the last five years. 18:30 On investment performance, the team has achieved an exceptional outcome in a highly competitive environment. Compared to the largest balanced funds, Old Mutual Multi Managers now ranks first over the one, two, five, and ten year investment horizons. And Old Mutual Wealth Tailored Fund Portfolios is in the top 15% of ASISA peer groups over one, two and three years. Across personal finance and wealth management, the team's efforts have resulted in improved sales with gross sales -- gross flows including by -- increasing by 15%. 19:09 Demand for offshore solutions remains strong with Old Mutual International recording net client cash flow growth of 36%. And finally, we have concluded successfully the administration platform migration of Old Mutual Unit Trusts, and made subsequent enhancements to this platform, which have created a truly exceptional performance for both advisors and customers. 19:39 Moving on to Old Mutual Investments, we've made tremendous progress in setting up our strategic foundation for success here. Over the last two years, Khaya and his team have completely overhauled and simplified the petite model to allow for a greater focus on specific competitive capabilities. We called this project LEGO and the pieces have now all been put into place. The affiliate model is now embedded and the execution of our private market strategy is on track. This focus has allowed us to see the new product capabilities with increasing investor favor. 20:27 In 2021, Alternatives and Specialised Finance invested more than ZAR9 billion of existing capital into unlisted credit and equity assets and we've had another successful fundraising in Alternatives of ZAR9.9 billion, that will be drawn down and invested in the future. Investment performance in our multi-asset and equity portfolios has delivered top quartile results against peers across one, three, five, and ten years. Our short-term investment performance has improved markedly, and has further enhanced the competitiveness of our long-term investment performance. 21:10 Gross flows and net client cash flow in this business are at their highest levels in four years and five years respectively. And this together with improved market levels has resulted in assets under management growing by 15%, and RFO exceeding 2019 levels by 10%. A really solid performance by Khaya and his team. One last, but extremely important point on Old Mutual Investments. 21:32 I'm really proud that the team has concluded the sale of 21.2% of Old Mutual Investment Group share in Futuregrowth Asset Management to African Women Chartered Accountants Investment Holdings or AIH, a 100% black women owned investment company. And this transaction was concluded at market prices. Although still subject to certain conditions precedent been met, it's the first step in a phased implementation of our strategy to achieve best-in-class empowerment credentials for the Old Mutual Investment Group. 22:23 The next step of the transaction will be structured in terms of statement 102 of the Financial Sector Charter, and has the prospect of increasing black ownership of both Futuregrowth and Old Mutual Investments to 51%. And achieving this will be a real game-changer for Futuregrowth for Khaya's business and for Old Mutual Corporate. I really believe this provides a competitive edge for our businesses as they seek new markets and defend existing territory. And we are delighted to be working with a partner of AIH's caliber, and look forward to a mutually beneficial relationship. 23:04 Corporate sales returned to a healthy position as Life APE sales rose nearly 40% in the second half of the year compared to the first half. Quote activity for Group risk business remains high, the number of brokers testing the market for better deals for their clients. And very pleasingly we've seen improved client and intermediary satisfaction scores with both Net Promoter and Net Effort Scores exceeding 70% by the end of the year. And these higher levels of customer satisfaction have made a positive contribution to retention risk, client terminations, and their client cash flow in H2. This was despite some challenges relating to claims processing, which we are prioritizing for resolution. 23:59 Digital adoption by retirement fund members also continues to improve and was 40% higher than in 2020. We focused on improving the competitiveness of our super fund offering to support large enterprises and on integrating our risk propositions into the super fund. And management actions have seen a significant improvement in our Group Life Assurance result. 24:29 At the same time, we've invested in the SME space, which Prabashini and her team have identified as a growth vector for the future. We are excited about corporate to new innovative SME Go offering, which is gaining traction, giving us credibility in the small business space as we push to create value for an underserved but hungry new market. 24:53 Also encouraging is Corporate's improved VNB performance in the second half of the year, as well as our existing deal pipeline, which supports positive momentum into 2022. Garth and the Old Mutual Insure team are beginning to see the results of their two year journey to turn this business around. In that time, two of Old Mutual Insure's business units being CGIC and Specialty have undergone restructuring processes across technology and operations. And have now returned very pleasing results. 25:34 In fact, the overall increase in total gross premiums was led by CGIC. And we believe that a reasonable proportion of CGIC's wins are sustainable, given a dominant market share, lower risk profile and better margins. In addition, iWYZE stood particularly well in 2021. All of this has contributed to an 8% growth in gross written premiums plus an improved claims ratio, which led to a 69% rise in the result from operations, and a substantial turnaround in the net underwriting result. 26:17 Retail premium growth has been limited however despite strong sales from the new Premier product offering. The much improved net underwriting result was achieved despite a few large risk events such as the UCT fire and weather related claims in the latter part of 2021. We managed to achieve our target of a net -- of our underwriting margin being solidly within the range of 4% to 6%. The retail businesses had an excellent claims ratio, but there is a need to further improve the expense ratio and make this business more cost effective. 27:06 What we used to call our complex commercial business has now been re-branded Premier and we've grouped it together with the Specialty business rather than with standardized commercial lines given the differing nature of the business being written. This particular business is still in rectification mode. Old Mutual Insure will continue to focus on further product simplification, simplifying processes and IT systems to unlock further sustainable cost efficiency across the business. The required investment in technology will delay the realization of some cost savings perhaps by a year or two, but will not impact on our Group savings targets. 27:54 And finally, I'm really pleased with the acquisition by Old Mutual Insure on the 1st of January of 51% of ONE Financial Services. This gives Old Mutual Insure access to new risk pools and to ONE's world-class technology for administering off platform insurance risk. In the rest of Africa, I'm also pleased to say that the business is showing early evidence of improving. In 2021 we saw top-line growth with good margins and market share gains. However, the segment suffered considerably worse COVID impacts than in 2020. With Namibia, in particular, experiencing significant claims during the third wave. 28:46 In addition, in most of our markets, as you would expect, higher economic activity post lockdowns also translated into higher property and casualty claims. Despite this, the team achieved a 33% growth in RFO excluding the direct impact of COVID and as I also have suggested there were a number of stand-out positives. Value of new business more than doubled with margins increasing from 1.3% to 2.9%. And these gains were driven by tight expense management in the southern regions and by a pivot towards corporate business in both East and West Africa, which positively impacted both sales and margins. 29:33 We experienced lower credit losses and higher net lending margins on the back of stricter lending criteria and increased collections and improving productivity levels will remain a priority as we continued to optimize our retail distribution and improve relationships with brokers across the various regions. In the context of our rectify framework, we've worked hard to fix our control environment in Kenya. And we've recently achieved similar successes in West Africa. But as a general comment, we still have some way to go in putting in place a world-class control environment across all of our markets and lines of business in these territories, and Clement and his leadership team are alive to this need. 30:23 And finally, a short comment on a business that we do expect much from and which is also headed in the right direction and that is our joint venture in China. The business delivered Life APE sales growth of 58% with VNB margins expanding by 50 basis points to 7.1%. Funds under management also grew by 20% to ZAR6.6 billion. All-in-all, a pleasing performance. We are invigorated by the work done and the progress that we've made during 2021. Our people at every level of our organization have brought into the vision and purpose of our business as much as the leadership team has, which speaks volumes to its relevance. Our competitive advantage is well and truly alive. And the end result is a greater strength we can see across all the various indicators. 31:25 And on that note, I'd like to hand over to Casper.
Casper Troskie: 31:46 Thanks, Iain, I agree this is a great set of financial outcomes given the extremely challenging environment with strong lead-indicators of improved sales and productivity across the Group. And on a personal note, it's been great to experience some of this recovery on the home front as well. 32:02 I was really happy to be able to reunite with my family after two years. I was able to spend some time with my son, who traveled from New Zealand as well as my brother and his family who traveled from the Netherlands. Adversity builds strength and resilience and I'm pleased to be able to show you how this is reflected in our results. 32:30 We have seen a continued positive trajectory on key metrics relating to earnings, capital and value. Overall, we were pleased with the strong recovery in results from operations to ZAR9.1 billion, on a pre-COVID basis as a result of the sales and flow recovery in all our segments. Results from operations includes a number of once-off items, which I will unpack later. 33:01 Adjusted headline earnings more than doubled in 2021, benefiting from results from operations growth as well as a substantial increase in shareholder investment portfolio returns across the Group. Our return on net asset value improved from 3.8% to 9%, and excluding the direct impacts of COVID was estimated to be 13.6%, which is within our target range and ahead of our cost of equity. 33:32 As Iain mentioned, a final dividend of ZAR0.51 was declared at 1.51 times cover relative to adjusted headline earnings. The dividend was supported by high levels of free surplus generation as well as a strong balance sheet with the Life company's capital coverage ratios in the upper end of the target range. 34:00 Value of new business was up substantially to just under ZAR1.3 billion from ZAR620 million -- ZAR621 million in 2020 on the back of strong volume growth and acquisition cost efficiencies. The value of new business margin recovered from 1.1% to 1.9% just below our target range of 2% to 3%. All of this has resulted in a 5.9% growth in Group equity value, excluding the impacts of the Nedbank unbundling. 34:34 We started 2021 with the pandemic provision of just under ZAR4 billion. We raised further provisions for ZAR4.2 billion and released ZAR5.3 billion, resulting in a closing provision of ZAR2.9 billion after raising an additional ZAR2.2 billion in the second half. The closing provisions’ was set taking into account the most recent experience and assumes that there will be no breakout variants that bypass immunity in future. 35:08 In terms of stresses and sensitivities on these provisions, if the immunity benefit from vaccination and prior infection reduces by 25%, the provision would increase by ZAR1.4 billion. And if vaccine take up reduces by 10%, the provision increases by ZAR327 million. COVID-19 resulted in additional deaths relative to our prior expectations and provisions, particularly in our personal finance, Old Mutual Corporate and rest of Africa business, whilst impacts on our Mass and Foundation Cluster remain more muted. 35:49 The net impacts of the pandemic on results from operations in 2021 was just over ZAR4.7 billion. And this was made up of ZAR6.8 billion in excess deaths, which were partially mitigated through net provision releases and management actions. Building on what Iain mentioned earlier, let's look at the underlying performance of our businesses. 36:15 In Mass and Foundation Cluster, RFO excluding the impacts of COVID-19 of ZAR3 billion grew 50%, mainly due to higher Life sales, good cost management, improved retention experience and reduced credit losses. Personal finance was up 6% despite lower net positive basis changes and once-off items than 2020, benefiting from higher market levels, improved mobility experience and continued good cost management. 36:49 Wealth management improved by 58% due to higher asset levels and fee income driven by positive net client cash flows as well as the market recovery. Old Mutual Investments was up 3% largely due to higher annuity revenue, offset partially by higher expenses. Old Mutual Corporate recovered by 13% due to higher asset-based revenue earned from improved market levels, together with releases of discretionary margins on investment guarantees. And Old Mutual Insure improved by 69% due to the positive claims experienced in CGIC, some provision releases and good control over costs. 37:36 Our rest of Africa business was up 33% with higher banking and lending profits due to lower credit losses, tight cost management and prior year East Africa write-offs not repeating. The increase in central expenses is largely due to costs relating to our growth in innovation initiatives, which Iain touched on earlier, as well as IFRS 17 project costs, share incentive costs and property rental concessions. 38:05 Personally, I was satisfied with how each of our segments have delivered in 2021, as we changed gears and positioned ourselves for growth. I'm also pleased to see the improvement in adjusted headline earnings of more than a 100% as a result in our recovery in operating profits, supported by shareholder investment returns improving substantially relative to 2020 with a 69% increase. This was driven largely by a rally in equity markets across the Group. 38:41 And income from associates was up with Nedbank earnings recovering on the back of lower credit impairments and strong revenue growth of 2020's low base, offset by ZAR37 million loss in our China operation. In order to simplify and understand how we get from adjusted the headline earnings to headline earnings, there are two material adjustments. Firstly the impact of restructuring largely comprises the recognition of tax of ZAR1.2 billion on the full Nedbank stake that was held prior to unbundling. 39:20 Secondly, the results for Zimbabwe are excluded from adjusted headline earnings due to us not being able to access our capital. The increase in Zimbabwe's profits was mostly driven by an increase in investment returns with the Zimbabwe stock exchange generating a 311% return in 2021. Despite higher volumes on the exchange, we remain extremely cautious of valuation levels given the closed nature of that economy. 39:54 Lastly, between headline earnings and IFRS earnings, the main adjustments includes an impairment on our property at one mutual place to better reflect prevailing market conditions. Overall, IFRS earnings improved to ZAR6.7 billion from a loss of ZAR5.1 billion in the prior year, with the Nedbank impairment of ZAR8.8 billion largely impacting the 2020 results. 40:23 As previously mentioned, the impacts of COVID include both excess deaths over provision changes as well as mitigating management actions largely related to the repricing of risk books. Results from operations excluding COVID-19 items of ZAR9.1 billion were higher than the results from operations of ZAR8.7 billion we achieved in 2019. However, 2021 results benefited from other key once-off items and in particular in Old Mutual Insure, 211 million represents CGIC's once-off release of reserves that are not likely to repeat in 2022. 41:07 ZAR653 million in Old Mutual Finance related to once-off benefits in credit charges, given the rundown of the book. But as the business returns to normal lending levels, we expect longer-term sustainable credit loss ratios of 7% to 9%. And ZAR844 million of benefits related to the continued optimization of our risk product catering strategies, following on the ZAR8.1 billion -- the ZAR1.8 billion uplift in 2020. Implementation of this strategy is now completed and the uplift will not repeat. 41:47 We have now completed our process with the regulator for the application of the accounting consolidation method, which was approved in December 2021. Subsequent to this approval, we have revised the Group target range from 170% to 200%. Whilst the OMLACSA target range remains 175% to 210%. The capital coverage for the Group was 184% and the Life company was capitalized at 201% after taking into account the final dividend declared. 42:28 The reduction in coverage ratios from the prior year was driven by strong retail risk sales, a 9% increase in the prescribed equity stress, the increase of the value of Zimbabwe, which is included at one times coverage ratio given non-fungibility of capital. Since listing the Group has returned ZAR75.4 billion to shareholders. This includes just under ZAR50 billion of capital returns from the two stages of Nedbank unbundling. In addition just under ZAR10 billion of special distributions were made in the form of share buybacks and special dividends. 43:14 Due to the strong cash generation from the business and our capital levels, we have also declared dividends using the full capacity of our dividend target range. We remained disciplined in our capital management and will continue to evaluate any growth opportunities in line with our strategy and return hurdle rates. We are pleased with the overall recovery in new business to just under ZAR1.3 billion compared to ZAR621 million in 2020 as well as the recovery of value of new business margin to 1.9%. This improved margin is proof of our sales recovery across the Group, together with tightly controlled cost management. I was particularly pleased with the value of new business recovery in Mass and Foundation and our rest of Africa business. 44:08 The return on Group equity value was 8.1% and 10.3% if we exclude the impact of COVID. The share price continues to trade at a significant discount to IFRS NAV, Eligible Own Funds and Group Equity Value. By unbundling Nedbank, we've delivered on our promise to reduce complexity and simplify. Allowing for a clearer understanding of our core business. We believe that the execution and delivery on our strategy is allowing us to strengthen our competitive position. And further amplify our competitive advantage. And ultimately, close the gap between our market capitalization and Group equity value. 44:59 In summary, we have seen a strong recovery in results from operation and adjusted headline earnings before COVID impacts. An improvement in our return on net asset value to be closer to the cost of equity with the pre-COVID return already ahead of cost of equity. A recovery of our value of new business margin to be close to our target range of 2% to 3% with our Group solvency ratio remaining strong within the adjusted target range of 170% to 200%. 45:33 And finally, as Iain mentioned earlier, we are delivering on our promise to meet the ZAR750 million of annual run rate cost reductions by 2022. Thus having already banked ZAR450 million in savings from a combination of non-commission expenses in our Life business and non-commission and claims administration expenses in our property and casualty business. This target excludes investments in our new growth businesses. Overall, we believe there is hard work on the road ahead, but we are on track to deliver against our medium targets, which you will remember we revised upwards in June. 46:15 With that back to you Iain.
Iain Williamson: 46:36 Thank you, Casper. Achieving some of these targets will require us to work with resolve, but I'm confident that we've put in place the strategic foundations and the execution steps required to deliver on our targets. Earlier, I promised to give you an update on how we've delivered against our commitment to you, our investors. 47:02 I promised that we were going to change the trajectory of our customer experience. And our much improved customer ratings prove that we are delivering against this. We said we would build a new financial services business, given the success of Old Mutual Protect, we now have the chassis on which to continue to expand this. We promised you we would realize sustainable cost savings. And again, as I said, we are well on track. 47:34 We undertook to regain Mass and Foundations competitiveness. And I think you'll agree that the numbers show that, that is happening. I said we would re-energize the customer and advisor experience in personal finance and wealth management, and the palpable energy that's in that segment has translated into really pleasing numbers. I committed to do all we could to improve the performance of our investment business. And here again we've indeed improved performance against peers and benchmarks across the one, three and five year time horizons compared to where we were a year ago. 48:17 And lastly, while the digital landscape is constantly evolving and our journey will never truly be complete, we are certainly delivering on our promise to embed digitalization of our business. Our work in the digital space is paying off, and I'm pleased to tell you that the number of customers who choose to engage with us digitally has increased by 28% in 2021 to 1.1 million. We've also used WhatsApp, USSD, and the MyOldMutual web-based platform to process more than 65,000 claims in South Africa, which is more than double that of 2020. 49:03 We've used machine learning tools to automate capabilities and improve the service we offer customers. And as at the end of December, we had migrated 51% of our South African technology estate to the cloud resulting in improved processing levels and reliability. And as of today, we've completed 67% of this task. Our investment into the migration and updating of our intern systems is one of the drivers that has delivered the improvement in our sales trajectory and our efficiency gains. 49:42 And this together with the execution of our Truly Mutual strategy has resulted in improved experiences for our customers. And you may ask how we measure this? We do so using the South African Customer Satisfaction Index, also known as SA-csi an independent national benchmark of customer satisfaction with the quality of products and services available to household consumers. Our 2021 SA-csi customer satisfaction score moved up from 78.9% in 2020 to 82.5%. And in addition, as measured by the same survey providers, our reputational net promoter score increased from 29.8 in 2020 to 46 in 2021. An impressive increase by all accounts. 50:37 The Old Mutual of 2022 is substantially rectified. It's certainly a lot simpler than it was only a few years ago. And it's already starting to be amplified. I want to reiterate, we are fully committed to working with future growth and AIH our new partners in that remarkable business to raise future growth and the Old Mutual Investment Groups black ownership to 51%. This is part of the phased implementation of our strategy to achieve 30% black ownership for the entire Group, which at the time of our listing would have been best in class. 51:21 Our empowerment commitment is exactly in line with our Truly Mutual strategy. As we move to implement these transactions, we are clear that the benefits will far exceed the implementation costs. And we will keep you updated on developments as we move through this. We are also adding additional capabilities as we build out the financial services business of tomorrow. Our ambition of expanding our transactional capability in phases to ultimately be at scale will continue. Enhancements to our existing capabilities are being implemented. And here again, we will update you on our progress. 52:04 And as you've heard Old Mutual Protect has done exceptionally well, but it needs to be further embedded in the market. We are going to use all the learnings from Old Mutual Protect to replicate its success with our savings and income product range. And lastly, I expect great things from the New Growth and Innovation Office we launched in September last year. The team is a vibrant, exciting focus point for aspirations both internally and with multiple partners in various industries and sectors to drive longer-term growth. 52:42 We've delivered across all five areas of shareholder value creation. We've grown revenue, we've increased our operating margins, we've improved our competitive strength, we've executed and delivered significant strategic progress. And we did all of this while improving our capital efficiency. And we delivered to our customers on the promises that Old Mutual has always stood for. 53:12 As we look outside Old Mutual, we take comfort from a South African budget that was measured, realistic and encouraging in its outlook. Events in Europe over the last few weeks are nothing short of a humanitarian disaster and deeply concerning for all. While none of us knows what the full impact will be, we can safely say that we have a resilient business with a well-capitalized balance sheet and strong liquidity giving us the platform to remain a certain friend in uncertain times. 53:51 So looking forward, we want to build on these successes to shift gears and to accelerate our growth trajectory. So I thank everyone both in the room and on the webcast and on audio for your time today. Casper and our leadership team look forward to answering any questions that you may have. 54:13 And I'll hand back to Sizwe to coordinate our Q&A process.
Sizwe Ndlovu: 54:41 Thank you so much, Iain. Just as a start, before we begin with the Q&A, I'd just like to draw the attention of all our participants, both in the room by webcast and audio of some additional videos that we have of our MDs who will be covering a little bit more detail about their segmental performance and to be able to give you better insights into their prospects as well. 55:03 And so, today we've got questions on the conference call. Operator can confirm that she is on. We then also have participants that are in this room. If you have a question, and you're in this room, if you may, please raise your hand and we'll provide you with a roving mic, so that you're able to answer -- able to ask and to also be answered. And also then we have questions on the webcast, which I have. 55:28 So operator, if you're ready, I would like to start with the conference call. And we'll go around until we finish.
Operator: 55:36 Of course sir. The first question we have is from Michael Christelis from UBS. Please go ahead. Apologies, we have a question from Andrew Sinclair from Bank of America. Please go ahead.
Andrew Sinclair: 55:52 Thanks and good morning, everyone. Just, well, usual three for me please. Firstly was on COVID, just really wanted to understand a little bit more about the cost of wave four of COVID and how that compared to the earlier waves? And then what you're looking at in terms of how many future waves and how you're expecting the costs to further reduce for those waves? That's question one. Secondly was -- thanks for calling out a total material one-offs in 2021 results, that's super helpful. And just really wondered, I realized that we're still at an early stage, but are there any material one-offs that you have sight of for 2022 results for positive or for negative? 56:39 And thirdly, was just on margins and volumes for new business. I thought it was really good recovery in volumes for new business, but margin still a touch below. What do you think is needed to get margins back to say the middle of that target 2% to 3% level, is that discontinued volume recovery or is there anything specifically that you can call out to get to that level? Thank you.
Iain Williamson: 57:05 Casper?
Casper Troskie: 57:18 So I'll start and then if I leave something out, any of the segment MDs can add on. So for COVID, the wave four provisions, we obviously did see some lower claims experience coming through on deaths relative to the other waves. We now went to leave in December are a very big number in my head. And we were able to reduce that number a little bit. We also were able to implement some management actions at the year-end. And included that actually in our proper modeling, which also helped reduce the provision that we raised at year-end. But we have modeled claims for example in period (ph) for the next eight waves. In Mass and Foundation, our basis mortality basis is quite conservative. So you don't sort of notice any additional provisions after the second or third waves. 58:17 In our corporate business we obviously rely on repricing. So we've set up best estimates in across all our insurance businesses at year-end. And then we've raised some additional discretionary margins. And this is fully set out in our booklet in our retail business just because the heterogeneity of the claims that we saw, we've also raised additional discretionary margin in our corporate business. And how we set it out is sort of one in ten risk events for retail, it's been set up as sort of a full-year experience. And in our corporate business we've set up as 50% of that variance given that we are able to reprice our corporate book. 59:13 In Mass and Foundation and in the Africa business, we felt that we already had sufficient discretionary margins at the year-end. So we have modeled forward looking waves, we have updated our assumptions relating to expected deaths, and we've also updated our sort of final expectation of vaccination rates, which we've reduced from 70% to 60% in our final provisioning. I hope that answers your first question, Andy. Just remind me of the second?
Andrew Sinclair: 59:52 Super helpful color there. As the second question was just on one-offs, you called them out for 2021. I realized we're still only in March, but just any site that you have on any one-offs that you're expecting in 2022?
Casper Troskie: 59:52 Andy, I'm not aware right now of any one-offs, I mean I think the biggest one-offs we would expect is -- and we've seen that in January, we've only seen that January data, but we are seeing slightly lighter death experience, and the provisions we've set up at the year-end. So the once-off will be mainly related to COVID experience. Obviously, we started the year with a strong end in our asset levels, which would have helped most of our businesses in terms of the margins that we are in. But obviously the recent turmoil in East Africa and the drop in markets is going to negate that a little bit. So I’m not aware of any other big ones-offs and these -- any of the peer leaders, and I see them all shaking their head, not aware of anything else.
Sizwe Ndlovu: 61:09 Thank you, Casper. Andy, you had one more question. I think it was on margins, if I'm not mistaken.
Andrew Sinclair: 61:14 Yeah. Just on margins, just essentially what it will take to get to middle say of the 2% to 3% margin target range?
Casper Troskie: 61:22 Yeah. So if Prabashini sells a lot of new business, we are not going to get there because the corporate margin is a little bit lower than the rest of -- sorry, Prabashini, but Clarence is expecting to be able to improve these risk margins based on improving volumes in 2022. And Kerrin, happy if she wants to answer, but she is looking at the mix of business, especially in the risk book to see whether we can improve that going into 2022. Those are the two big levers, Kerrin, I don't know if you want to add anything?
Kerrin Land: 62:06 Thanks, Casper. I think personal finance is probably the area where we need to do the most around our margin. We focused in 2021 very much on getting the productivity levels back and activity levels back. And I think that has happened well. But what we did see was a gravitation of customers towards the cheaper end of the product spectrum. So for us getting that mix and up-selling to the more complex the benefits the kind of critical illnesses, the sickness benefits. As opposed to vanilla, life and lump sum death benefits will be quite important. 62:47 I think the second thing to be aware of is that we actually did do in personal finance a expense allocation exercise in 2021 and we have actually shifted our allocations between the life and non-life products. So that did have a bit of a one-off kind of resets of margins in the Life space.
Casper Troskie: 63:09 Thank you, Kerrin.
Andrew Sinclair: 63:10 Super helpful. Thank you.
Sizwe Ndlovu: 63:11 Thanks, operator. If you can just hold for a bit. I'm going to go now to the webcast. And just we've got one question from Jared at All Weather. He is a buy-side analyst. And he asks, is the ex-COVID-19 impacts on RFO or the RFO ex-COVID-19 impact is a base of which you can grow going forward?
Iain Williamson: 63:38 Casper?
Casper Troskie: 63:42 I will take that Sizwe, I think you need to look at the slide, which I put up around once-off impacts of other items. So that gives you a more sustainable base from which to grow. So -- and that's particularly why we've highlighted those items because they are not going to reoccur. So we had a big negative impact of COVID, but we also had some positives that are not going to recur. So you should rather look at that. I think it's around ZAR7.5 billion as a sustainable base of which to grow without factoring sort of additional as we said we're not aware of additional once-offs going into 2022 at this stage. So that's a better view to use.
Sizwe Ndlovu: 64:30 Casper, I'm going to offer the opportunity for any participants in the room who have a question with us here on the venue. If there are none, operator, we can go back to the chorus call please.
Operator: 64:40 Thank you, sir. The next question we have is from Michael Christelis from UBS.
Michael Christelis: 64:47 Hi, guys. Can you hear me?
Iain Williamson: 64:48 Yes, Michael. Clearly.
Michael Christelis: 64:50 Thanks so much for the time, guys. Three questions from me as well then. Firstly, I noticed your sort of commentary around Mass having regained its competitive advantage. Yet when I look at your sales growth in funeral, were your sales are in funeral relative to say pre-COVID FY '19 levels, you're still lagging behind those levels, where your two largest competitors in that space are above. So I'm just sort of curious as to how much more there is to go in terms of this growth rate. And whether you're bullish you can get back to those or how quickly you can get back to those pre-COVID levels? 65:27 Secondly, just on the Old Mutual Finance sort of banking expansion that was discussed in your Capital Markets Day late last year, you spoke a bit about deploying some capital dynamic. Can you give us an update on what's been done, what's been deployed, what the plans are there and how you think -- how you think that develops over the near-term? And then the last one is just around your COVID provision. Can you just talk about the effective sort of expectation of around the release of that provision? In other words, I think Casper mentioned, you've modeled a further eight wave, just to clarify that, eight more waves or is that total eight waves. And how quickly can we expect that provision to be written back if by some sort of magic COVID is behind us? Thanks.
Casper Troskie: 66:17 Thank you, Michael.
Iain Williamson: 66:21 Clarence to deal with...
Sizwe Ndlovu: 66:22 [indiscernible], MD of Mass and Foundation.
Clarence Nethengwe: 66:26 So, can you hear me? Yes, so Michael's question is, we are far off 2019 in terms funeral sales. And my reading of it is that we are about 2% below 2019 or around about there. And the 2019 levels we achieved them with over close to 4,900 advisors. And the adviser numbers that we had in 2021 were around 3,009. So you need to factor that part of the equation. Then secondly, we are now building up the adviser force, but in a different way. We have introduced new channels, which is a franchise channel as well as our low income foundation market channel. And we've got advisors build up to about 500 extra. That should help us in terms of continue to see the recovery in terms of our risk sales in particular, funeral sales. 67:26 And then the third element of it is that we -- as we communicated at our Capital Markets Day, we are shifting focus away from being predominantly on funeral, but also doing underwritten Life. And our aim is that over a three year period our underwritten lives should constitute about 20% of our overall sales. So there is momentum, and if probably when we get to interims, you will see that actually we would have recovered beyond 2019 when it comes to risk sales, yeah. So I'm quite comfortable that, that recovery that you saw last year of about 40% growth on 2020, it is sustainable for a year or two before we get back to single-digit numbers of growing in that funeral space.
Sizwe Ndlovu: 68:12 Thank you, Clarence. The next question was around transaction.
Iain Williamson: 68:16 So Michael, to your question, on what we're doing in the transactional banking enhancement. Essentially the investment to date, over last year has primarily been in a team of people with skills in that arena. And in essentially technology capability to put down a properly digital chassis for payments essentially. And that piece of work has progressed in terms of both having the team in place, the core contracts with key providers signed from a technology perspective and we're progressing. So that's where we're at.
Sizwe Ndlovu: 69:00 Thanks, Iain. Casper?
Casper Troskie: 69:02 Michael, on the release of COVID provisions, we obviously agree a release pattern upfront with our audit committee for discretionary margins. The discretionary margins that we've set up at the end of 2021, we have agreed will -- if not utilized in 2022, will be released at the end of 2022. The best estimate liability will obviously be updated at each and every reporting period for what our view is at that point in time. So if things -- we've seen a little bit better experience relative to our provisions starting items in 2022, if that continues, which will obviously allow us to adjust our best estimate liabilities at the next reporting period. So that's how we will deal with the best estimate liability. And as I said, in terms of discretionary margins, those will be released or used in 2022.
Michael Christelis: 70:16 Great. Thanks very much guys.
Sizwe Ndlovu: 70:18 Operator, before we move to the next person on the chorus call, I'd like to ask, just a couple of questions I have here. One is from News 24 [indiscernible]. She asks, you mentioned that the joint venture in China is a business that you're most excited about. I remember in 2017, there were reports that Old Mutual was considering selling its 50% stake there. How different are the prospects for that business now? Why the renewed excitement? I thought Old Mutual planned to focus on Sub-Saharan Africa post the managed separation. So that's the first question. And then the second one is, how have you dealt with the impact of the pandemic and your front-line staff? So I'll stop there for now.
Iain Williamson: 71:09 Okay. So with regard to China, I think we are still excited about the prospects for that business. I think the numbers are quite -- it should give you a good indication that we've got reason to be excited, I don't think anyone wouldn't be excited by 58% sales growth at 7.1% VNB margins. The competitive advantage that, that business has against most foreign joint ventures in China is that we have a license that spans nine cities, nine large cities in China. So the addressable market is absolutely enormous. The business is tiny from a market share perspective, but it does have prospect of growing quite strongly. Obviously given what's happening in Russia and the Ukraine at the moment, we are just keeping a little bit of a close eye on the geopolitical context around Chinese business. And will take appropriate decisions around any required capital allocation, certainly in the short-term, just keeping an eye on that. So that's the only reason for some measure of caution around how we think about that for the immediate future.
Sizwe Ndlovu: 72:23 Thanks, Iain. And then the second question on front-line staff. I'm going to give to Kerrin, she would like to respond.
Kerrin Land: 72:33 We've dealt with the impact of COVID in our front-line staff in three ways. So number one, keeping them as safe as possible. Number two, enabling them to work. And number three, helping staff who fell ill or had bereavement, to deal with it. So in terms of keeping our staff safe, we had very strict protocols in place, we issued all our advisors with screens. We allowed them to work from home as much as possible and we actually set up and invested in a lot of digital technology to allow them to work remotely with their customers. So the Whatsapp claims lines, the ability to meet with customers digital signing et cetera. 73:19 In terms of keeping them safe, we've been very aggressively encouraging vaccination and sort of allowing them to work from home. And then our staff who fell ill, really helping them with a care line, helping them with packages and really helping deal with funeral arrangements and the like where people were grieved. Thanks.
Sizwe Ndlovu: 73:43 Thank you very much Kerrin for that response. I'd like to ask the question also that we have received around -- further detail around the black economic empowerment transaction done in the Old Mutual Investment business. If you can provide any further detail on that and what prospects offer it?
Khaya Gobodo: 74:01 Hi. Thanks, Sizwe. I mean I think there is three things to consider about that transaction. One is, we concluded the transaction at market prices. So from a shareholders' point of view, it's a value for value trade. And in fact, if we think of the strategic value of what we've done there, we've put future growth in a position to be extremely competitive in this space where clients are increasingly asking, especially in the institutional space, increasingly asking to deal with 51% black owned fund managers. So that puts us in an incredibly strong position competitively. 74:38 The third thing I'd like to highlight about that is something that Iain referred to and maybe I'll embellish that a little bit, which is we structured the transaction as a statement 102 transaction. So what that means is the selling entity derives the same benefit from ownership points as the entity involved in a transaction. So Old Mutual Investment Group is the selling entity will derive the same level of ownership value, which means it takes both businesses one step closer to being 51% black owned. So I think it's very good for the ecosystem, very good for our clients and we've done it at a price point and at a cost level that is negligible for shareholders.
Sizwe Ndlovu: 75:17 Thank you, Khaya. Operator, if we can go back to the chorus call for the next question.
Operator: 75:23 Thank you, sir. The next question we have is from Warwick Bam from Avior Capital Markets. Please go ahead.
Warwick Bam: 75:31 Good afternoon, everyone. Thanks for the opportunity. I shall ask my questions one by one, to make it a little bit easier. The first question is, do you believe the repricing of risk products across the industry had a beneficial effect on your competitiveness and sales volume in the second half?
Sizwe Ndlovu: 75:52 So, who would like to take that? It's Kerrin again.
Kerrin Land: 75:55 Yeah, so Clarence might want to add. I think the reprising, there are two kinds of repricing. So repricing to be more competitive in particular pockets of business where we wanted to grow our market share, that I think was positive. We on the risk side did look at particular cohorts of people where we wanted to gain market share, and adjusted pricing. But then repricing to take into account unvaccinating people and COVID effects, I think on balance was actually probably difficult for us. So not all competitors did it at the same pace. Some were also less obvious about how they did it. We were quite public about it. So on balance actually that Sizwe has a little.
Sizwe Ndlovu: 76:49 Thanks, Kerrin. No further comments on the acquisition, Warwick. If you can move on to the next question.
Warwick Bam: 76:55 Great. Thanks for that. You've got a call option to increase your stake in Old Mutual Finance from 75% to 100%. And do you intent triggering this option and does the legal proceedings from Business Doctor Consortium have any effect on your ability to call that option?
Iain Williamson: 77:16 Yeah. So in short, it's a put and a call Warwick. So I would expect that one way or the other that transaction will be concluded. It's just a question of the time. And the process that's envisaged in the contract to kind of get to resolution on the valuation for that transaction to take place. The Business Doctor litigation is something that is secret, but in my mind is clearly motivated by trying to influence effectively the valuation at which that transaction would take place. So it is something we will need to manage.
Sizwe Ndlovu: 77:59 Okay. Thank you, Iain. Warwick, last question.
Warwick Bam: 78:04 Thanks. Last one just in terms of the Mass Foundation Cluster, your savings and investment product sales levels are still well off 2019 levels. I appreciate that you've had some change in product mix and focus areas, but do you believe that you could get your savings and investment product sales levels back to 2019 levels?
Sizwe Ndlovu: 78:26 Thank you. Should we give that to Clarence please. Yeah.
Clarence Nethengwe: 78:35 So Warwick, the intention is not to get back to that level, because it was a deliberate action first of all to try and push risk more than savings. Reason for that is from a savings perspective the margins are very thin. And the savings product plays two roles for us. The one is just a retention mechanism. Then secondly it also helps cover some of our distribution expenses that enable us to write better margin risk business. So we took a deliberate action not to increase that, I mean, not to increase the volumes by increasing minimum premium for the savings product in 2020. 79:30 And we again implemented another minimum premium increase in February of 2022 with the intention to continue shifting our advisor force towards more and more risk. And then we also changed our rent model for the tired advisor force in order again to drive them more towards the risk side without pushing too much of the savings. The reason why savings beside the whole thing around margins and everything is that contractual savings are a little bit difficult for a mass market customer in the low-income space. And you know there is a lot of what I call value destruction for customers. That's the reason why we had to make some of these changes, particularly around minimum premium in order to target the right type of customer rather than everybody in that space.
Sizwe Ndlovu: 80:04 Thank you, Clarence. Operator, if we can move to the next caller.
Operator: 80:09 At this stage sir, there are no further questions on the chorus call line.
Sizwe Ndlovu: 80:13 Okay. If that is the case, then operate I'll move on to the webcast. There are two questions -- well, there is one from PSG Wealth from [indiscernible]. He asks, what is the return on JV in 2021 relative to 2020 is the first question. We then have a second one which is the Old Mutual strategy on ESG? We then have with Peter Crawford (ph). We have [indiscernible]. He is asking how are you thinking about acquisitions over the next few years? Are there any specific areas where you'd like to add more scale or new business ventures? And any potential of any further buybacks secondary to M&A? So ahead of M&A. Yeah.
Iain Williamson: 81:06 Casper, do you want to do the first one. And I'll do the other two.
Casper Troskie: 81:11 Just to get the team for this, yeah, as I've said in the presentation, it was 8.1. And I think 10.2, if you strip out COVID impacts. Also just remember that when you calculate a return, you need to adjust for the big distribution that we made for Nedbank during the year. I'm trying to see if the team has got last years, number, we'll see net through -- yeah, post the call.
Sizwe Ndlovu: 81:42 Sure. We can do that. And then, Iain, the ESG strategy followed by the M&A strategy.
Iain Williamson: 81:47 Yeah, I'll talk about the ESG. So we are putting out ourselves our Integrated Report and our Climate Report in literally at the beginning of next month. So you can get full detail in there. But in summary, we consider the nature of our business and the competencies that we have, essentially, we've got three core competencies ultimately. We're an asset gatherer, that means that we gather assets into scalable, investable amounts and then we can put those into portfolios. We're risk pooler, so we can pool risk on behalf of clients and help them to manage that risk. And we are an investor fundamentally. And if you take those activities and think about what that means from an ESG perspective, we believe that from a E on the environmental side, the biggest influence we have is as an investor. And in how we ultimately influence portfolio investee companies to behave in such a way that drives towards net-zero carbon emissions. And that is our strategy is essentially to use that capability to advantage to drive through necessary change in behavior in the world. And to think about what new startup capability, we are prepared to fund and not prepared to fund, to drive change over time. 83:26 So that's essentially the biggest lever we had from an environmental perspective. We can do a little bit on the operational side, we've got buildings, we consume water, we consume a bit of energy, but we're not a massive carbon emitter in our own right. But having said that, many of our flagship buildings across our portfolio of property are at five and six star green rated buildings with significant attention paid to things like solar energy, water recycling and waste management. From a social perspective, I think many people are familiar with the fact that we really do believe in long-term sustainability of communities. So in our core business, it's about serving our customers responsibly, making sure that they get access, and that we give them good advice in thinking about their owner fees. 84:21 And then if you like, from an after profit perspective, a lot of what we do drives around financial inclusion and financial education for the community at large on an after profit basis. And then finally from a governance perspective, very much just standing up for good governance and making sure that it's embedded into everything that we do from as an organization. So I think that's a potted summary. But you get a fuller articulation of that if you have a look at the reports we put out in the next couple of weeks. So Sizwe, if you could remind me what the third question was.
Sizwe Ndlovu: 84:59 Happy to do that Iain. How are we thinking about acquisitions over the next few years? And are there any specific areas you would like to have more scale and new business ventures. And then there is a couple of questions actually on this theme around where buybacks rank relative to acquisitions?
Iain Williamson: 85:15 Okay. All right. So in essence, we see organic and inorganic growth as complementary to each other. As part of just being able to compete. And so, what you saw with the one acquisition in Old Mutual Insure for example, you know, it was clear strategic logic, makes sense from a capital return perspective. And it's not a -- it doesn't create massive risk from an integration or transformational point of view in the terms of the scale of the acquisition. We will absolutely pursue opportunities like that. And there are a number of areas that we have identified where either we could scale up complementary capability inside our existing businesses or drop for scale in markets where we are currently sub-scale. 86:06 And I think in our financials, one of our competitors on record in the last week of saying financial services is a scale business is right, but it's not a scale business across borders to be clear, it's a scale business in country. It's very hard to drive scale efficiencies in a regulated business across borders. So you actually -- the way to think about it in my mind is, if you -- if a business is small in a particular market, there may well be disproportionate value and thinking about accelerating the growth of that business through inorganic means. 86:45 So I mean, that's a short summary. I think we've demonstrated that we're disciplined about how we think about this. We have been in a number of conversations in the last year, particularly in our rest of Africa portfolio. And none of them have met our criteria for what we would require to see in order to consummate any sort of transaction. So we will continue to be patient. But it does remain a part of our growth strategy. And then briefly on the new growth and innovation side, we -- alternative name for the portfolio, which has been used is what we call innovation at the edge. 87:23 And it's essentially looking at two growth horizons, slightly shorter-term horizon sort of three years to four years out, mainly through partnerships and partnering for complementary capability. And then a slightly longer growth horizon, probably in the 5 plus year category, which is more on building capability from scratch. But it's unlikely to be capability that's competitive to our core as such, but more complementary to our core business. So that's essentially the framing of how we're thinking about it.
Sizwe Ndlovu: 87:56 Thanks, Iain. And the last one is, capital returns versus investment. I might have missed...
Iain Williamson: 88:00 Sorry, capital return?
Sizwe Ndlovu: 88:02 M&A -- or M&A versus buybacks, what's our preference?
Iain Williamson: 88:05 The buyback issue?
Sizwe Ndlovu: 88:05 Yes.
Iain Williamson: 88:06 So, I think share buybacks will remain on the agenda. There are certain of our shareholders have a stated preference, large shareholders have a stated preference for special dividends. So we would -- we will balance our thinking depending on where share prices at a particular point in time. And if we have deployable surplus capital that we don't have a more attractive useful, certainly buybacks would come into consideration.
Sizwe Ndlovu: 88:38 Thank you, Iain. Operator, we've reached the end of our time here together. So I would like these guys on the call to disconnect, if they're still any people. But otherwise for those in the room and in Johannesburg, and via the webcast, thank you all for your time and joining us today. Those who are in Johannesburg with us physically, we ask you to just remain behind, while we close off the end of the proceedings. Thank you all.